Operator: Good morning ladies and gentlemen and welcome to Ardmore Shipping’s First Quarter 2015 Earnings Conference Call. Today's call is being recorded and an audio webcast and presentation are available in the Investor Relations section of the Company's Web site, ardmoreshipping.com. We will conduct a question-and-answer session after the opening remarks. Instructions will follow at that time. A replay of the conference call will be accessible anytime during the next two weeks by dialing 719-457-0820 or 888-203-1112 and entering the passcode 1652188. At this time, I would like to turn the call over to Anthony Gurnee, Chief Executive Officer of Ardmore Shipping.
Anthony Gurnee: Good morning and welcome to Ardmore Shipping’s first quarter 2015 earnings call. First, let me ask our CFO, Paul Tivnan, to describe the format for the call and discuss forward-looking statements.
Paul Tivnan: Thanks, Tony and welcome everyone. Before we begin our conference call, I would like to direct all participants to our website at ardmoreshipping.com, where you will find a link to this morning's first quarter 2015 earnings release and presentation. Tony and I will take about 15 minutes to go through the presentation and then open up the call for questions. Turning to Slide 2, please allow me to remind you that our discussion today contains forward-looking statements. Actual results may differ materially from results projected from forward-looking statements. Additional information concerning factors that could cause the actual results to differ materially from those in the forward-looking statements is contained in the first quarter 2015 earnings release, which is available on our website. And now I will turn the call back over to Tony.
Anthony Gurnee : Thank you, Paul. On the call today, we'll follow the usual format we will highlights first our first quarter performance and recent activity provide an update on the product and chemical sectors discuss our chartering profile and provide a fleet update. Paul will discuss our financial results and then we'll recap and open up the call for questions. So turning first to the highlights on Slide 5. We reporting a very strong set of results today EBITDA of 12.2 million and net income of 5.1 million equating to $0.20 per share for the quarter. This is based on only about two thirds of our fleet being in the water and generating cash flow. In fact our new building were delivered we estimate that our EPS would have been around $0.38 of share. Our ship is fluctuating strategy over the past six months and responses to the strengthening market as prove to be very effective in maximizing our earnings. We delivered strong performance through our MRs of 21,600 per day for the first quarter and presently our voyages is in progress running it around 23,250 indicating continued market strength. Our well time fleet growth is also boosting performance four IMO 2 product and chemical tankers have delivered so far this year with remaining six new buildings by year end. Operating cost and overhead are below budget year-to-date sustaining a meaningful cost advantage which has a significant impact on earnings in cash flow. And then finally for the quarter we paid a dividend of $0.10 per share and implemented a dividend reinvestment affording our shareholders to the opportunities reinvest in the AFC efficiently. Our largest shareholder [Greenbar] Equity Group subsequently announced their participation in the drift. Turning now to Slide 7, on product tanker market to put current rate in perspective the year to date benchmark MR triangulation have increased significantly from the same period last year. The Atlantic is up 77% and the Pacific is up 68%, additionally one year time charter rates are gradually catching up to spot rate an indicator that charter is confidence in the market is on the rise to. The spot market is being supported most of all our strong supply demand fundamentals and long term secular trends which are continuing to play out. The oil market is of course having a big impact with increase cargo volumes and oil price volatility adding an extra layer of demand and long haul trade growth as well as port conjunction adding to voyage distance and time. This is going on now for some time for around six months. So if there is any news in this call is that we believe that these conditions have become what we called the new normal and that they will persist for as long as oil over production and price volatility continues which we expect be the case of the foreseeable future. As for this incremental tanker demand now emerging from oil consumption growth and you have a recipe for a very strong sustain charter market. While all eyes are presently on demand growths looking at supply MR delivery so far this year have been slower than scheduled as ship yard that build MR are facing significant operational and financial constraints. On top of this new ordering activity has been almost non-existing in last summer, so the order book is in decline and in fact made fall through around 10% by year end. Turning to page 8 on the chemical market. The outlook for the chemical sector is also very positive and charter rate are starting to follow as a product tanker market. So far this year we've taken delivery of four echo design IMO2 products in chemical tankers. One of the key elements of our strategy is to exploit the overlap between product and chemical trade moving from one to the other based on the relative strength. Our new vessels have design for this purpose and given the earnings discrepancy between the two sectors in fact they carry vegoil and CPP which is kind of the core product tanker trade for 82% decline in the first quarter. In terms of employment one of these new ships of the port has been placed on time charter at a very attractive rate for specific trade. While the other three have been entered into pools where they go enjoy spot upside in the recovering market. The chemical tanker market is expected to strength through 2015 and into 2016 for a variety of reasons. The strong product tanker market is drawing coated IMO2 ships away from the sector and that’s reducing supply. The lower oil price environment is beginning to have a positive impact on industrial activity there by boosting chemical demand and Arabian Gulf petrochemical plant expansion continues at a rapid pace adding to average volumes and voyage distances, with significant U.S. Gulf expansion on its way as well. Looking at chemical tanker supply, the newbuilding delivery schedule for 2015 is relatively light and scrapping is continuing, so supply growth is contained. Overall we view our new IMO2 Eco-design products and chemical tankers as swing tonnage which provides us with market optionality and has a potential to significantly contribute to our earnings as the chemical tanker recovers. So moving onto Slide 10, in terms of chartering profile we’re continuing with our current employment strategy and positioning our vessels to take full advantage of improving spot market conditions. In terms of our spot time charter mix approximately 70% of our revenue days will be spot for the second quarter up to 55% in the gross quarter. And going forward, we will continue with this versatile strategy which enables us to adjust the mix depending on how we see the markets developing. So turning to newbuilding update and on Slide 11. The average numbers of ships in operations -- newbuildings and fleet updates, sorry, the average number of ships in operation for the first quarter was 16 is currently 18 and will rise to 24 by the end of the year. We had one dry docking in the first quarter at the Ardmore Capella and of course pointing out that we don’t have any schedule dry dock for the second quarter which enhances our position to capitalize on the strengthening market. Our newbuilding program is on track and we expect to take delivery of the remaining six vessels by year-end in fact two each quarter. Some of the newbuildings are slightly delayed reflecting the operational issue faced by yards as we discussed already, but all vessels were within budget and there will be no impact on quality. With the newbuilding deliveries, our revenue based will increase by 19% in the second quarter and by 70% for the full year year-on-year which will substantially boost earnings and cash flow. It's worth also highlighting that four of the six remaining deliveries on MRs which will enter into proprietary spot trading arrangements with a leading oil trader from which to anticipate very good results. We expect the other two tankers to be employed either on time charters during the spot trading pool yet to be decided. And with that, I’ll hand the call back to Paul to discuss our financial performance.
Paul Tivnan: Thanks Tony. Starting with Slide 13, we are pleased to report very strong financial performance were in profit of 5.1 billion and $0.20 per share for the quarter. This has achieved to an average of 16 ships in operation, which is very significant since [indiscernible] this year. This is also our fourth successful profitable quarter and reflects both our feet expansion, operational efficiency and a much improved charter market. The company reported EBITDA of $12.2 million, which represents an increase of $8.2 million from the first quarter of ’14. Revenue was $29.6 million, an increase of $17.2 million for the same period last year. All of our vessels are running under budget for the first quarter, net operating cost for Eco-design MRs were $6,102, while Eco-design products and chemical tankers came in at $6,200. Our March vessels were on average products and chemicals $6,280 per day for the quarter. Depreciation and amortization for the first quarter was 5.5 million and we expect depreciation and amortization in the second quarter to be approximately 6.4 million. Corporate overhead costs were 2.1 million in the first quarter, which works out at just under a $1,000 per day on a fully delivered basis and this is among the lowest of our peers. Our interest and finance cost were 1.6 million, which is net of capitalized interest related to new buildings in the quarter of 1.1 million. We expect interest in finance cost in the second quarter to be approximately 2.75 million net of capitalized interest of $0.75 million. The above results showed a net profit for the first quarter of 5.1 million or $0.20 per share. And as Tony mentioned earlier, if our full fleet of 24 ships was in operation, Ardmore’s EPS would have been $0.38 per share. As you can see on Slide 14, we reported very strong charter rates for the first quarter; we had seven MRs operating in the soft market at the end of the quarter earning 21,600 per day. Setting out to the various ship types, we have five Eco-designs in margin operations, which earned average of [$17,806] per day for the quarter. Our six Eco-mod MRs and $19,020 per day on average which represents an increase of over $4,000 per day from the same period last year. The Eco-mod is slightly better than Eco-design purely due to vessel positioning, timing of voyages and the greater percentage of vessels in the spot market. As up to date we have eight ships trading directing in the spot market and in line with the stronger market, the vessels are running an average of approximately $23,250 per day for voyages in progress. Our Eco-design product and chemical tankers at an average of 16,600 per day in the first quarter and we expect it to increase next quarter as the larger 37,000 ton ship will be in operation for the full quarter and settling into profitable trade. The Eco-mod products and chemical tankers $12,228 per day which is [indiscernible] cost for the drydocking of the Ardmore Capella. Again to reiterate Ardmore's substantial upside premium and $1,000 a day increase in rate across the fully delivered lease equate $0.34 per share in EPS. Our current MR spot rate of 21,500 we estimated that our earnings will be around 150 per share annually. We believe this upside potential is on a per share basis to highest of our peers. On Slide 15 we have a similar summary balance sheet and at the end of December out total debt lease $292 million compared to capital lease of 634 million leaving our leverage at 47%. Our cash in hand was 22.1 million. In terms of net asset value as vessels values improved every $1 million increase in vessel values equates to $0.92 in additional NAV per share for our shareholders. Turning to Slide 16 as we noted on our last believe are fully funded with committed bank financing in place for all of our newbuildings. We have 128 million remaining in the yard installment and 127 million in committed debt. In addition, fourth quarter end in April we completed refinancing with two of our banks releasing $25 million in cash which enhances our strong liquidity position and provides us considerable flexibility. At current MR rate we would be generating over 7.5 million in cash per quarter over the full fleet which is which is significant. Our leverage stands at 47%; we expect our leverage to peak at around 56% with significant cash on hand. And with that I would like to turn the call back over to Tony for some closing comments.
Anthony Gurnee: On summaries on slide 18 we're reporting strong results of $0.20 for the quarter which on the fully delivered fleet would be $0.38 of share oil price volatility and increase cargo volumes are continuing to boost product tanker demand and we believe this is going to continue for the foreseeable future what we're now beginning to think of this the new normal. Our flexible charter and strategy proven effective in maximizing earnings with the shift towards [indiscernible] over the past six months continuing. Long term fundamentals and refinery developments are playing out as expected providing a strong foundation for this market recovery and more importantly emerging growth in oil consumption is said to further support the market. Our best operating cost in overhead of running full of budget and among the lowest amongst our peers contributing positively to net income and sustaining our cost to the manage. We are fully funded as Paul just described and focused on maximizing earnings and taking delivering of our remaining six vessels which together with the first quarter we will result in the 70% increase in revenue days in 2015. We're well position to take advantage of this strong and improving rate with every thousand increase in charter rates across the delivery fleet equating to $0.34 in earnings. And we had a quarterly dividend with $0.10 of share and have initiated a dividend reinvestment plan. So in overall we are very, very happy with the performance of the company and we’re looking forward to delivering continued earnings growth in the coming quarters on the back of the strong charter market and a growing fleet. So before we open up the call for questions we like to remind everyone that we're having our second annual Investor Day in New York on May 18. Where we’ll have three I think very interesting industry expert addressing the question what driving product tanker market. And with that we're now please to open up the call for questions.
Operator: [Operator Instruction] And we'll take our first question from Jon Chappell with Evercore ISI.
Jon Chappell: You mentioned the 23,250 for the ships that are currently on voyages. Just trying to equate that to kind of 2Q to date number if you were to say that x-percentage of your fleet has been booked and so this voyages is obviously will have delivery point at some point in the future. What percentage of the operating spot days would you say have been booked for 2Q and what the number for that period is similar to 23,250?
Paul Tivnan: We don’t have that number at our finger tips but call it a third or maybe 40%.
Jon Chappell: Okay right around that same --.
Paul Tivnan: We still have to wait to see how the rest of the quarter plays out. But we’re feeling pretty good so far.
Jon Chappell: Second thing I want to ask you mentioned a few times you didn’t talk about this in the past as well, timing the ships in time charter on to the spot market which seems to be well timed. How you did lock in one of the new builds time charter and you still have five basically time chart to the rest of this year. So just wondering how you think about with the portfolio strategy of charter your ships do you always plan on having a handful on time charters and then you also mentioned that the time charter markets finally starting to catch up with the spot market. If that were to kind of accelerate could you see more of the shift to time charter at some point in your future?
Paul Tivnan: I think there are two elements of play here maybe three. One is that on any given day you’re presented with certain opportunities and sometimes either for relationship of strategic reason or somebody offers you a very nice rate who may have a specific need, something that is always very tempting to take because it's basically about market or the other assets to doing it. So you know it’s a fairly fluid situation, broadly speaking to clear that we want to be more stocked time charter given where rates are today and instill the differential. But as we mentioned, the time charter market is gradually evolving and catching up, it’s too early to tell when would be the right time to step back in but we are very pleased with the stock performed and so far we feel comfortable with the arrangement in place and the performance routine is putting in so it’s something will continue for a while.
Jon Chappell: Last thing I want to ask is you have a good problem to have about the start of fully financial builds operating cash flow and free cash flow starting to accelerate, as you think about the different uses of cash. It seems like 7.5 million to quarter isn’t enough to move the needle on acquisitions but are you still in the market for adding tonnage, would that the second hand tonnage? And when we think about the other alternatives as you setting a higher base with more operating days, you see rise in dividends and how do you compare that to potentially a buyback given on one end the stock trading to discount to NAV, but on the other hand, liquidity on the basis is still light? Several parts of one long question.
Paul Tivnan: Yes, I think this one on comprehensive answers which is obviously all the things you mentioned are alternatives we have as use of the cash flow and the cash. We could build, we can buy ships, we could shift the dividend policy, we could pay down some debt, we could buy back shares, we could build liquidity on the balance sheet. So, I think it’s an evolving situation and I think we can say at this point that will something to think about and we'll try to make the best decisions to maximize shareholder value.
Operator: We'll take our next question from Doug Mavrinac with Jefferies.
Douglas Mavrinac: My first question pertains to just the market environment right now. Obviously, you are seeing and enjoying very strong rates. My question is given how your fleet is positioned, is there is one particular area with an MR market that’s the demand driver or Tony when you talked about the new normal within the product center market. Is it more broad-based, that you are seeing the strength?
Anthony Gurnee: It's really, the east has been over the last six month has also been strong and I think that in particulars reflective of the increased volumes coming out of the new refineries in the middle-east and that's playing out as expected and that's strengthening all the sectors, all the sizes in the product sector in the east and the west, you got continued expansion of U.S Gulf trade. What’s notable and I think of is concept of the new normal is really that this oil [trading] which is resulted and relative to the pricing but also the volatility and more cargo moving and port conjunction. It doesn’t just seem to be -- doesn’t seem to go way and we think it's going to quite persistent that has a big impact on demand because this business is driven largely by oil trading activity. So that volatility is seasoned to Americas new business and it just uses up more ship days. So, I think it's a combination of fundamental in the secular trends that we’ve been tracking for many-many years now, continuing to play out, we think that is a way long to go combined with a fairly persistent market dynamic which is also boosting demand.
Douglas Mavrinac: Guys you are very helpful. Thank you and then whenever we look at the earnings that you are realizing in the first quarter and the second quarter, at least according to our estimates we'll take you’re pretty decently outperforming the industry averages. Despite the fact that maybe [indiscernible] with oil prices coming down, market fuel prices coming down, the Eco-mod premium wouldn’t have been as great. But none the less you are still outperforming, so how much of your outperformance or how you done a work on your outperformance figure out and how much of it is from the Eco-mod in 1Q and thus on 2Q versus how much of it is just opportunistic chartering.
Anthony Gurnee: I think that even with the drop in oil price, we're still benefiting a lot from the fuel efficiency of new ships that Eco-Design as well as the mod we’ve made to the older ships and that were already quite fuel efficient. So that definitely is still a factor. In addition we work very hard on customer service and we think we got a fair shot at every piece of business that comes up. Ships are universally accepted by oil agents, so we work harder every day. I am sure our [indiscernible] a well but we're not pleased with the results.
Douglas Mavrinac: Yeah impressive, very helpful and just final question. Follow-on for a John's final question in terms of capital allocation. You mentioned that or actually see the stop rates have been very strong, you mentioned that time charter rate is starting to move higher. My question is have you seen asset values moving in and if you haven’t do you view that as an opportunity if the earnings potentially of the assets has increased but yet the asset by itself is not.
Anthony Gurnee: Yes, I mean the principle of this opportunity but that’s again we’re something that we're watching carefully and we'll figure out what to do. But vessel values are probably coming up a little bit but it's interesting, I think this is in way typical market recoveries where stop market leads followed by the time charter market followed by asset value just a few things that Wall Street times of [indiscernible] that also seems to be the case in our business. So we're bullish we're performed well in the stock basis, time charter rates are catching up and there is probably still an opportunity and second half shifts and so we can do about that.
Operator: We'll take our next question from Magnus Fyhr with GMP Securities.
Magnus Fyhr: Just a couple of questions I didn’t see in the press release an update on the buyback program where do we stand on that now?
Paul Tivnan: When then there are -- when activity takes place we’ll release that through our filings. But we view it is as tool that we have the build shareholders value, if we feel the shares don’t reflect the inherent value of the company. So it's definitely [indiscernible] that’s really all we can say now.
Magnus Fyhr : And just on uses of cash you talked about potential acquisitions. Where -- chemical tanker market has lagged a little bit compared to the MR market. Do you see some opportunities there to put more ships in the pool or may be kind of elaborate little bit more on the chemical what you see.
Paul Tivnan: It's interesting that the kind of the market is more directly affected by global GDP activity and specifically emerging market. So I think it's kind of in little bit falling behind the product market in the last year or so, certainly last six months. We feel that there is momentum building that in the chemical trades and I think we're somewhere between encouraged and excited about it at the moment. So we think it's going to continue to build so we'll see how it plays out but it also has a potential to have a different life's in the product market and to be sustainable for different reason. So we're pretty encourage and that’s why we put lot of these shifts into spot rate, where they are doing quite well. Allow that the newbuildings that we take delivery up or doing extremely well we're very happy with the performance that commercially flexible that they're also extremely feel efficient and they really the first Eco-designed chemical tankers out there. So we're doing extremely for us.
Magnus Fyhr: Okay great one last question, as far as new build versus second hand ships would we see -- you taken delivery after this year you full the delivered fleet on 24 ships. Do you see ordering more ships would be focused on second half market opportunities?
Paul Tivnan: I think it really depends on where we feel most value. But I think everybody in the business feels a little quizze when they considered brand new orders. So never say never, but at the moment certainly we're evaluating different opportunities and we figure out what’s best for our company and that best for our shareholders.
Operator: We'll take our next question from [indiscernible] with Morgan Stanley.
Unidentified Analyst: So I just wanted to ask you we've a little question on the strong market. I was just wondering if you expect any seasonable pull back in 2Q or 3Q there is some refinery turn around in the East now like starting. So I was wondering if you expect any pull back in demand or if you just think that the market actually going stay at the place where it is now.
Paul Tivnan: Well one point to make is that even strong market or volatile. So of course we're going to see ups and downs. But we don’t see anything kind of written on the wall yet that indicates that there is going to be big fall off in rates. February we saw a dip but it came roaring back, so that can happen again. But we're quite bullish, there is a factor that nobody is really talking about yet which could play out in the second half and that’s the rush of shift into dry dock to avoid having to installed ballast water treatment systems in 2016. So we're trying to get our arms around this and maybe other people are ahead of us in analyzing the impact but that could result in quite a lot of tonnage coming out in the second quarter or sorry in the second half of the year. Which could really boost things at the right time? So I think there is for us many kind of concerns that you can lay out that you have seasonal downturn there are also some other factors of play which could either nullify that or even boosted it higher.
Unidentified Analyst: That’s good so do you have to put any ships into dry up to that as well or covered with ballast water trends?
Paul Tivnan: It is something we'll talk about in due quarter. But suffice to say that every ship on water doesn’t currently have ballast water system installed. If they want to trade worldwide they're going have to -- if they going to dry dock after January 1, 2016 they’re going to have the system installed and it takes a lot of time.
Unidentified Analyst: That fair to know. The another question I wanted to ask about the we're seen time charter rates coming up a little bit now, is there a certain and you've been moving into the spot market. Is there a certain rate at which you would should say you're more comfortable putting your ship on a year time charter? Is there any area like where you would say about 20,000 is there any number that you might want to give us where you sort of think that it would be worth it to just switch over to time charter contract?
Paul Tivnan: It's not something that we're watching and thinking on how it evolves with the market, but we’ll see how things play out.
Unidentified Analyst: Okay and as on the last question was on dividend, I mean we've talked a little bit about how you might increasing dividend might be one option and I mean if rates are strong would you rather opt for a fix dividend or would you potentially even go to a floating dividend, would that also be an option for you guys?
Paul Tivnan: As we discuss all sorts of things on regarding policy with the Board and I think there are interesting alternatives, but it's something that just we want to point at many alternatives.
Operator: [Operator Instructions] And we'll take our next question from Michael Webber with Wells Fargo Securities.
Unidentified Analyst: This is [indiscernible] stepping in for Mike. Congrats on good quarter. Not a question sort of really a follow up question from the previous ones from asset values. We've seen some appreciation for crude tanker asset values to date on 2015 but we're really product tanker asset values have stagnated and you mentioned you're optimistic on the asset values cycle but can you comment on sale and purchase liquidity? I mean is that really one reason that’s driving the stagnation versus a lack of sellers and buyers out there? What's really the underlying cause given pretty robust earnings year-to-date?
Anthony Gurnee: I think asset value is the last piece to move in the puzzle -- clearly if you're making 20,000 to 25,000 a day on ship and values haven't moved, you thinking [indiscernible] so, the thing is lot of reluctance and therefore there is a lack of supply of good ships to buy right now. But there are lot of people looking to buy, so we think there is upward pressure and we'll see how it works out. We’re pretty bullish on that with our vessel values.
Unidentified Analyst: And could we same said for sort of liquidity in the time charter market, I mean, given very strong earnings in just lack of time charter liquidity out there?
Anthony Gurnee: I think there is also a -- I think oil traders are getting their share on market and beginning to come in now to take ships and there are -- I think it very often time charter rates are the more reflective of risk aversion they are of market outlook. And so I think there is still quite a bit of risk aversion built into the market and that's at best gradually deception. So we think that rise we'll continue do increase.
Operator: We'll take our next question from Charles Rupinski with Global Hunter.
Charles Rupinski: Lots of my question have been answered but I just wanted to follow up a bit on the time charter environment and how it potentially could unfold and just may be your views might be, I'm not asking for a specific prediction but just the may be some ideas, do you get the sense that things remain stronger that some of the potential customers could be open to say longer time charter and potentially more open to doing some kind of index or profit sharing arrangement and how like we do think this is something that you might want our participate?
Anthony Gurnee: Over the past year we’ve done a whole range of structures from profit shares, indexes to rising rates, [fluctuate] deliveries schedule, windows after so. All designed to meet, specific kind of customer needs, so we can do well on the back of it. So, we confidently look at those kinds of structures. And we try to describe our growth to charter and it’s more of a portfolio approach where we’re just trying to maximize the aggregate results and we’re look at our range of alternatives. So the things you have mentioned is definitely on the play sheet and again we're -- that's all I can really say right now. We're looking at variety of things.
Charles Rupinski: Fair enough. I understand, this is something you’ve anticipated and I was just questioning or may be giving ideas like what the psychology of the customer might be, but may be we're too early on to really forecast that.
Anthony Gurnee: Yes, and again its fluid things so I mean it really changes almost day-by-day. And very often has to do with specific -- this is more than big liquid market, this is -- these are companies that have underlying physical trades and needs and they're looking for the right package ship on the right terms to work the services they needs.
Operator: And with no further questions at this time, I'd like to turn the call back over to Anthony Gurnee for any additional or closing remarks.
Anthony Gurnee: At this time thank you all and again we're really -- I think we're very positive and optimistic about some market outlook and our performance in it and thank you for your continued support. Thank you.
Operator: And that does conclude today's conference. Thank you for your participation.